Operator: Greetings and welcome to the Velo3D Reports Fourth Quarter and Fiscal Year 2022 Financial Results. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bob Okunski, Vice President of Investor Relations. Thank you. You may begin.
Bob Okunski: Thank you. I’d like to welcome everyone to our fourth quarter 2022 earnings conference call. On the call today, we will start out with comments from Benny Buller, CEO of Velo3D, who will provide a summary of the quarter, as well as an update on certain key strategic priorities for 2023. Following Benny’s comments, Bill McCombe, our CFO, will then review our fourth quarter 2022 financial results and provide our guidance. As a reminder, a replay of this call will be available later today on the Investor Relations page of our website. During today’s call, we will make forward-looking statements that are subject to various risks and uncertainties that are described in the Safe Harbor slide of today’s presentation, today’s press release as well as our 2021 10-K and third quarter 2022 10-Q filings. Please see those documents for additional information regarding those factors that may affect these forward-looking statements. Also, we will reference certain non-GAAP metrics during today’s call. Please refer to the appendix of our presentation, as well as today’s earnings press release for the appropriate GAAP to non-GAAP reconciliations. Finally, to enhance this call, we have posted a set of PowerPoint slides, which we will reference during the call on the Events & Presentations page of our Investor Relations website. With that, I’d like to turn the call over to Benny Buller, CEO of Velo3D. Benny? 
Benny Buller : Thanks Bob. And I would like to welcome everyone to our fourth quarter earnings call. Before discussing our strong quarterly results, I wanted to briefly highlight why we remain excited about our long-term opportunity and why we are well positioned to expand our industry leadership position going forward. Please turn to slide 3. Overall, we continue to see a massive untapped global market opportunity for high value 3D metal printed parts. For example, CONTEXT Research is forecasting growth in excess of 30% in the Laser Powder Bed Fusion market through 2026, making it the fastest growing segment in 3D printing. This growth is being driven by the increasing acceptance of metal 3D printing technology for volume production for applications across multiple industries. Additionally, in some applications, 3D printed metal parts are now approaching the cost of legacy parts, while providing much higher quality and design flexibility. Velo3D is now the fastest growing company in the metal AM industry since Q1 2021. We believe this growth is a direct result of our unique and differentiated technology that enables customers to print parts that are not possible with legacy AM technology. This capability fundamentally changes the way the aerospace, defense, energy space, and other industrial segments design and produce their most critical parts. We are also the only metal AM company to offer fully integrated hardware, software, and comprehensive printing platform that provides customers scalable manufacturing solutions. We remain very excited about the overall opportunity for additive manufacturing. We continue to believe our technology is rapidly changing the way high-value metal parts are manufactured across the world. I would now like to discuss the specifics of our fourth quarter. Please turn to slide 4. Overall, we were very pleased with our Q4 performance. We saw continued strong demand for our systems. For the quarter, we exceeded our forecast as revenue rose 56% sequentially. On a year-over-year basis, both our fourth quarter and annual revenue rose 200%. As you can see from the chart, we have significantly outpaced our peer group since the first quarter of 2021. This outperformance reflects not only strong customer demand for our technology, but also our ability to rapidly scale our business and production operations. 2022 was also a year of increasing market momentum as we grew our customer base by more than 50% last year. We expect to add a significant number of new customers in 2023 as we expand our global footprint, penetrate new markets, and qualify new materials. Additionally, we are also seeing significant traction for our new product introductions. We further ramped volume production of our Sapphire 1MZ and Sapphire XC 1MZ systems in Q4 with three shipments in the quarter. As we had highlighted before, the Sapphire XC 1MZ significantly expands part build volume up to 10 cubic feet with parts as tall as 1 meter. We believe the capacity to manufacture larger parts further extends our competitive advantage, especially in the aerospace and energy segments. Operationally, we also executed well and are starting to see the benefits of the manufacturing initiatives we put in place over the last two quarters. Overall, supply chain conditions have improved. Given our efforts, we have significantly reduced supply chain risk in relation to our annual forecast. We also continue to focus on prudently managing our inventory levels. We expect the material decline in inventory in the second half of this year as we can now better match inventory levels to our demand expectations. Finally, production cycle times of our Sapphire XC system continue to improve due to increased volume and improved manufacturing efficiency. This improvement is important as it has a direct impact on gross margin. Additionally, we continue to have strong visibility going into 2023, given our Q4 bookings of $15 million and backlog of $43 million. We remain confident that we have a clear path to profitability given our current resources and business momentum. I’ll discuss our strategic initiatives for this year in greater detail later on. I would now like to spend a few minutes highlighting our industry diversification, which we believe reflects continuing customer acceptance. Please turn to slide 5. This slide details our market segment diversification by total customers as of the end of 2022, along with a breakout of 2022 by systems revenue. As you can see from the charts, we have significantly expanded our customer footprint from our initial reliance on the space vertical reliance on the space vertical to include markets such as energy, aviation and defense, contract manufacturing and other industrial applications. Customers outside of the space segment now constitute 75% of our customer base. We expect our global diversification trend to continue in 2023 as we look to capitalize on increasing demand in both, existing verticals and new market segments. Turning to 2022, by system sales. Revenue was heavily weighted to space. This was driven by two major factors. First, it was the result of our large customer contract where we shipped 9 Sapphire XC systems to a single space customer last year. Second, space customers have moved to procure larger fleets of machines due to the entrepreneurial spirit and quicker adoption patterns that establish players in other segments. We expect ourselves to space vertical to remain strong in 2023 but decline as a percentage of system revenue this year. This will be primarily driven by our efforts to further expand our footprint in both new and existing markets outside the space. I would now like to use a simple example to put into perspective as to why customers are continuing to choose additive manufacturing and Velo3D for the high value metal parts. Please turn to slide 6. This example compares the traditional manufacturing process for a common heat exchanger versus what we provide using one of our Sapphire systems. As you can see, this is a very complex part with multiple types of structures required to achieve the finished product. With traditional methods such as brazing, welding, machining, this part requires the separate fabrication of more than 100 pieces. On a Velo Sapphire system, we can print this part in one piece with higher quality and better performance than traditional methods. Additionally, our systems provide the customer with the ability to quickly implement design changes, which is not something that can be easily done with traditional techniques. As a result, the customer was able to reduce manufacturing steps by 65%, lower overall part cost and manufacturing, a higher quality part than traditional methods. Finally, we enabled the customer to significantly improve the supply chain cycle time with a design for real time of 4 to 6 weeks against 12 to 18 months with an outsourced partner. These advantages highlight why customers continue to choose Velo3D for their high value metal parts manufacturing. In closing, I would like to briefly discuss our key 2023 strategic priority. Please turn to slide 7. Our primary focus for this year is driving to profitability and improving cash flow. We will accomplish this through a combination of growth, margin expansion and spending reduction initiative. First, we expect revenue growth of more than 50% this year. Given the strong demand trends for our industry-leading technology, exiting 2022, we believe we have the sales momentum to achieve this goal. Additionally, this growth will be driven by our continued execution of our land and expend strategy. The success of this strategy is reflected in the fact that more than half of our customer base now own more than one Sapphire system. Second, further expansion in our gross margin as we benefit from our bill of material cost reduction initiatives and improved production efficiency. We also expect a continuous increase in overall ASPs with a further mix shift to our Sapphire XC product and the completion of our discounted pricing transactions in the first half of the year. Third, we’ll reduce year-over-year adjusted operating expenses by 20% in Q4 of 2023 compared to Q4 of 2022. These initiatives include a gradual reduction in labor costs. These efforts include a selective hiring freeze, reduce attrition back, as well as reduction in spending for certain employee programs. Our goal is to reduce our operating structure, while driving stronger revenue growth. We are also implementing a number of programs to reduce the discretionary expenses across the Company. Finally, significantly improving cash flow. We expect sequential improvement in cash flow as we go through the year, driven by improved EBITDA. In addition, we will see an improvement in working capital as we expect to reduce year-over-year inventory by 10% to 15% in 2023, given improved supply chain planning and material delivery schedules. We expect to see the benefits of the inventory reduction efforts starting in the third quarter of this year. In closing, we are excited about our future opportunity and believe we are well positioned to capitalize on the growing demand for high value 3D printed metal parts. We remain confident in our ability to reach profitability given our current liquidity, and look forward to executing our long-term strategic plan as we executed well in 2022. With that, I’d like to turn the call over to Bill to discuss our financials and provide our guidance. Bill? 
Bill McCombe: Thanks Benny. Moving on to our quarterly financial performance, please turn to slide 9. Fourth quarter revenue of $29.8 million exceeded our forecast and was up 56% sequentially and approximately 200% year-over-year. Compared to Q3, Q4 year of sale revenue rose $10.5 million or 63% due to higher volume and a higher average selling price, which was due to three factors. First, a shift of product mix towards more Sapphire XC systems as we shipped a record number of these systems in the quarter. Second, more deferred payment transactions, which carry higher revenue than regular sales. And finally, fewer Sapphire XC launch customer shipments at discounted prices. We completed the last of these shipments in the fourth quarter. Recurring in service revenue for the quarter rose $200,000 sequentially to $2.8 million, and reflected the increased number of systems in the field. On a year-over-year basis, year of sale revenue was up 187% from $9.4 million to $27 million, and recurring revenue was up 180% from $1 million to $2.8 million. Gross margin for the quarter was 6%, and in line with our forecasts. The increase in gross margin was primarily driven by higher average selling prices and lower service and recurring revenue costs. These improvements were partially offset by higher material costs resulting from scrap, obsolescence and other inefficiencies. Adjusted operating expenses for the quarter, excluding stock-based compensation were $18.6 million. This included a benefit of $3.4 million from certain non-recurring expense reductions. Adding back these items, our operating expenses, excluding stock-based compensation, would’ve been $22 million, down from $22.6 million in Q3. G&A was in line with Q3, while sales and marketing was up slightly. R&D expenses declined $4.7 million and reflected $2.7 million of the non-recurring expense reductions mentioned above. R&D expense also benefited from the completion of our Sapphire XC 1MZ development project and better expense control. We expect R&D to rebound somewhat in 2023 but to remain below historical levels. GAAP net income for the quarter was $22.7 million, including a non-cash gain of approximately $44 million related to changes in the fair value of our warrants and earnout liabilities. On a non-GAAP basis, which excludes this gain and stock-based compensation expense, net loss was $16.4 million and adjusted EBITDA for the quarter excluding the same items was a loss of $14.4 million. I would like to provide a bit more detail on our gross margin outlook for 2023. Please turn to slide 10. As I mentioned earlier, our gross margin in Q4 2022 was 6%. As we progress through 2023, we expect to improve our gross margins to approximately 30% by Q4 of 2023, as a result of the following factors. First, average selling prices are expected to improve as our product mix shifts more towards higher priced Sapphire XC systems and as we implement price increases for the Sapphire XC. Second, material costs are expected to decline as deliveries increase under long-term lower cost supply contracts that have recently been signed or are in the process of being negotiated. These contracts with more predictable delivery schedules should also reduce freight and storage costs. In addition, we’re making a concerted effort to reduce material inefficiency and scrap costs. Finally, we expect labor overhead and other factory costs to decline as a percentage of revenue as we increase production volumes and whole cost relatively flat through greater efficiency. Please turn to the balance sheet on slide 11. We executed the quarter with a very strong balance sheet with $80 million in cash and very limited debt. Cash usage for the quarter was $33 million, up slightly compared to Q3. The major components of cash usage were as follows. Q4 EBITDA and adding back the $3 million non-recurring non-cash expense reductions amounted to a loss of $17 million. We also had a larger than usual number of sales with deferred payment transaction structures in this quarter. This had a negative cash effect of $8 million, which will be recouped over time, as these payments are received. We will minimize these types of transactions in 2023. Inventory increased by $3 million as efforts to slow the growth in inventory through better planning and staggered delivery started to gain some traction. We expect inventory growth to slow and flatten out in first half of 2023, and then to decline in the second half of 2023. CapEx was $3 million, down from $5 million in Q3 and was comprised of CapEx for lease systems and facilities and equipment. We expect total cash usage in Q1 to be in the range of $20 million to $25 million depending on the timing of payments for certain booking deposits, receivables, and shipments. This is inclusive of proceeds from financing under our ATM equity program and bank facility. We expect -- we continue to expect cash usage to decline each quarter through the end of 2023. Finally, we remain confident that we have the liquidity to fund our business plan through the profitability. I’d now like to provide our outlook for 2023. Please turn to slide 12. We expect first quarter 2023 revenue to be in a range of $25 million to $28 million, which is largely supported by our existing backlog, and gross margin to be in the range of 9% to 11%, excluding non-recurring items. For full year 2023, we expect revenue growth of greater than 50% and revenues to be in a range of $120 million to $130 million. We expect gross margin for the year to be in the range of 19% to 21% with Q4 gross margin of approximately 30%. In conclusion, we are focused on executing on our clear path to profitability within our current capital resources through growth, improvements in operating efficiency, margins and cash flow. With that, I’d like to turn the call over for questions. Operator?
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Brian Drab with William Blair. Please proceed with your question. Brian, your line is live.
Brian Drab: Sorry. Can you hear me?
Bill McCombe: Yes, we can Brian.
Brian Drab: Okay. Thanks for taking my questions. So first, just a small housekeeping item. You mentioned in the guidance there is this note that you are going to hit certain levels of gross margin excluding any non-recurring items. Can you just comment on what kind of nonrecurring items you were talking about or anticipating?
Bill McCombe: Brian, this is Bill. That’s a casual -- we are not anticipating any nonrecurring items. There is nothing specific that we had in mind, when we made that statement. It’s just a -- if something completely out of the ordinary to come up that by definition we can’t anticipate. We just wanted to make it clear that that wasn’t included.
Brian Drab: Okay. Right. Just another way of saying adjusted gross margin, which is nothing unusual, but just wanted to check. Thanks. And then, so energy and industrial have been two big end markets that you are getting more into these end markets. There is a lot of potential. Can you talk about some of the applications that you are starting to see, your machine used for within energy and industrial, and specifically is the technology starting to fill holes in supply chains in terms of, like the digital inventory idea or is it being used by OEMs for kind of first fit applications rather than MRO?
Benny Buller: So the first applications that we see a significant traction with are applications of spare parts, kind of digital inventory for MRO. As we mentioned, these are -- in these two segments, these are the first places where we see good traction. And we see that in valves, in heat exchangers, in turbo machinery. So, these are the first places that we see bigger tractions.
Brian Drab: And then, can I just ask, how are things going in Europe? Is it still choppy there, still longer sales cycles, or are you starting to win over some customers there? Thanks. 
Benny Buller: We definitely started to winning some customers. We won some customers in Europe, and we have even repeat orders on the horizon from Europe. So, it’s definitely getting momentum. The cycles are longer as we are just getting there and people know less. There’s a lot of due diligence our customers are taking, and the sales cycle is particularly long and kind of from the nascent [ph] of the sales cycles we had in 2019 in the United States. 
Operator: Our next question comes from the line of Jim Ricchiuti with Needham and Company.
Jim Ricchiuti: So, I think I appreciate the color on some of the verticals. And the question I have is just with respect to the full ‘23 outlook. Which of the verticals do you have the clearest line of site with respect to the revenue outlook? I mean, clearly, you’ve got backlog. I’m just trying to get a sense as to which of these verticals you have the best visibility.
Benny Buller: It’s -- I don’t have -- the answer will not be mathematically precise because I’m kind of estimating that based from…
Jim Ricchiuti: That’s okay.
Benny Buller: But I think that the picture that you see on slide 5 on the left is representing the visibility that we see. So, space, aerospace, defense automotive, industrial, have a similar segment. Maybe the CM segment is a little smaller than what we see in this picture. And all the other ones are proportionally larger. But this represents the pipeline.
Jim Ricchiuti: Maybe another way to ask the question too, Benny, is, I guess what I’m trying to get to also is, are there some verticals where you’re seeing some signs of hesitancy just in light of the macro environment?
Benny Buller: That’s a really good question. And to that answer is easier. So, if you look at our bigger customers, we don’t see -- we didn’t see yet a lot of slowdown because of the macro environment. Where we do see -- the one segment that we do see definite slowdown is in the contract manufacturing segment, and particularly the smaller companies we see there more funding constraints and financing constraints. So that’s one reason -- one driving reason why the contract manufacturing segment will -- looks smaller in 2023. And that’s the one segment that we definitely see slow down financing.
Jim Ricchiuti: Got it. That’s understandable. Last question for me is, you had a nice win last year on the automotive side with North American auto OEM. And I’m wondering if you’ve been able to leverage that either with that customer or with other customers as it relates to the M300 tool application?
Benny Buller: Yes. There is another customer already and a few more in the pipeline.
Operator: Our next question comes on the line of Troy Jensen with Lake Street Capital Markets. 
Troy Jensen: Couple of questions for Bill here. So, just -- backlog $43 million, it was down $23 million on a sequential basis. It sounds like you’re expecting that to ship primarily in the first half. So, just confirm that if you would. And then just can you just talk about second half visibility, then if a lot of this backlog is getting kind of depleted?
Bill McCombe: Yes. Look with respect to backlog, there were -- in addition to the revenue, there were a couple of customers where they haven’t made deposits. They haven’t made a lot of progress on their financing for the system. So, we -- even though the orders were not canceled, so the orders are still in existence, we adjusted them out of the backlog in the interest of conservatism. So, that adjustment was made. That’s one of the factors that the backlog came down. Look, I think, we still feel the bookings processes are lumpy process. We’re selling systems with multimillion dollar ticket prices. And so, it’s a lumpy process. I would just say, based on the tone of the market, the pipeline of activity we see, we feel very comfortable with our guidance.
Troy Jensen: Okay, perfect. Another one for you, Bill. Q4 OpEx was about $18.6 million. I think, you said that you expect that to be down 20% year-over-year Q4 this year. So, we’re talking about $15 million in OpEx…
Bill McCombe: No. Let me explain the math on that a little better. So, Q4 benefited from $3.4 million of non-recurring expense reductions. So, we -- in my remarks, I added those back to get to adjusted base of $22 million. So, it’s from that $22 million that we’re projecting a 20% reduction.
Troy Jensen: Okay. So it’s $17.5 million. Is that…
Bill McCombe: Things were -- they were non-recurring and they were non-cash. And so, in order to get a true run rate, you really should add those back, which is what we did. And that’s what I referenced in my remarks. So, that’s the basis from which we’re talking about a 20% reduction, so at $22 million minus 20%.
Troy Jensen: And are you expecting like sequential declines on an absolute basis throughout the year, or is there going to be a step function on one point or…
Bill McCombe: I would say it’s a gradual decline, Troy. Yes. We don’t have perfect visibility and perfect control, but our goal would be to steadily reduce it during the course of the year. We’ve got a wide range of cost reduction initiatives. We’ll be implementing those beginning in the first quarter. So, the first quarter reduction might be small, and then they’ll start to get -- the first quarter might even be flat and then they’ll start to be accelerated as we get towards Q2, Q3 and Q4.
Troy Jensen: Got you. All right, guys. That’s all I got. Congrats and keep up the good work.
Bill McCombe: Thanks Troy.
Operator: Next question is a follow-up question from the line of Brian Drab. Please proceed with your question.
Brian Drab: Okay. It’s Brian Drab. Thank you. So, I’m missing the table, like I wish that you still included the table that had all that great data early on. And I understand for competitive reason, we are not including it. But I just wanted to see if I could get you to mention any of the figures that we used to see there. It would be interesting to know, if you would tell us anything about the total number of machines in the installed base now, or total number of customers? And maybe just…
Benny Buller: Yes. Unfortunately not, Brian. It’s hard to -- look, all I can say is obviously the installed base is -- grows every quarter and the number of customers grow every quarter. I can’t say anything meaningful without violating our policy.
Brian Drab: Okay. That’s fine. Can I just ask one more then? You also used to talk about the ratio of follow-on machine sales to initial machine sales? Are you seeing -- that was just a good metric because it gave us some insight into the demand from current customers and how often you are going to have repeat sales? Can you talk about that and if you are seeing current customers coming back for a second and third machine?
Benny Buller: Yes. Once again, we are seeing recurring purchases and we have those in the pipeline. So, as a general matter, that continues to be a feature of our business. But once again, we can’t really be specific. But the only thing I can tell you that we’ve that talked about in the public remarks is that our product mix has continued to shift towards the Sapphire XCs, which is the higher ticket price -- higher priced systems. And look, as a general matter, those existing customer purchases, recurring -- existing customers continue to purchase new systems, but we really don’t give specific. No.
Bill McCombe: But I would say one thing is that, this is a very significant portion of our business.
Brian Drab: The repeat customer -- the repeat purchase.
Bill McCombe: Yes.
Brian Drab: Yes. And can you comment at all -- I think you said that you’re raising the price on the XC. Did I hear that correctly? And is that a material increase? Could you comment on how much we’re raising prices? Because that obviously affects our models.
Benny Buller: It’s a relatively modest increase, Brian. It doesn’t affect the models in any meaningful way. 
Brian Drab: Okay. All right. Makes sense. Prices and everything are going up, so no one should bear too much. All right. Thanks a lot.
Benny Buller: Thank you.
Operator: There are no further questions in the queue. I’d like to hand a call back to Benny Buller for closing remarks.
Benny Buller: Thank you everyone for participating in our earning call. We had a really good year in 2022 where we delivered and executed to very ambitious goals. We plan to keep this tradition of execution and deliver in 2023. So, looking forward to seeing you on our next earnings call. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.